Operator: Hello, ladies and gentlemen, and thank you for standing by for JinkoSolar Holding's Co. Ltd. First Quarter 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. After management's prepared remarks, there will be a question-and-answer session. As a reminder, today's conference call is being recorded. I would now like to turn the meeting over to your host for today's call to Ms. Ripple Zhang, JinkoSolar's Investor Relations Manager. Please proceed, Ripple.
Ripple Zhang: Thank you, operator. Thanks, everyone, for joining us today for JinkoSolar's first quarter 2021 earnings conference call. The company's results were released earlier today and available on the company's IR website at www.jinkosolar.com, as well as our Newswire services. We have also provided a supplemental presentation for today's earnings call, which can also be found on IR website. On the call today from JinkoSolar are Mr. Li Xiande, Chairman of the Board of Directors and Chief Executive Officer of JinkoSolar Holding Company Limited; Mr. Gener Miao, Chief Marketing Officer of JinkoSolar Company Limited; Mr. Pan Li, Chief Financial Officer of JinkoSolar Holding Company Limited; and Mr. Charlie Cao, Chief Financial Officer of JinkoSolar Company Limited. Mr. Li will discuss JinkoSolar's business operations and company highlights, followed by Mr. Miao, who will talk about the sales and marketing and then Mr. Pan Li who will go through the financials. They will all be available to answer your questions during the Q&A session that follows. Please note that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks is included in JinkoSolar's public filings with the Securities and Exchange Commission. JinkoSolar does not assume any obligation to update any forward-looking statements except as required under the applicable law. It's now my pleasure to introduce Mr. Li Xiande, Chairman and CEO of JinkoSolar Holding. Mr. Li will speak in Mandarin and I will translate his comments into English. Please go ahead, Mr. Li.
Xiande Li: [Foreign Language] [Interpreted] In the first quarter of 2021, our shipments, including wafer, cell and module were 5.4 gigawatt. Total revenues were US$1.21 billion and gross margin was 17.1%. Prices of polysilicon and solar glass continue to increase quarter-over-quarter due to the shortages. On the other hand, macroeconomic conditions continue to impact commodity prices, which further increased sequentially for several production materials, such as solar junction boxes and EVA. In the first quarter, we adopted a relatively flexible business strategy and continued to reinforce the management and control of our supply chain, while accelerating manufacturing process improvements in order to ease pressure on cost. The volatility in the supply chain caused by the imbalance between polysilicon supply and a strong downstream demand continued in the second quarter, and the overhaul of some polysilicon manufacturing plants intensified the shortage even more. The price of polysilicon reached RMB220 per kilogram recently, more than doubled compared with the end of last year. Although the price of solar glass declined significantly in the second quarter, it was far from being able to offset the increase in production costs caused by the rising price of polysilicon. In addition, due to the double impact of the penny - pandemic and the Suez Canal incident, transportation capacity worldwide decreased sequentially compared with the first quarter. The shortages of containers on some important routes remains problematic. The combination of manufacturers have caused module prices to increase and the demand from downstream customers was affected in the short-term. Faced with so many challenges, we continue to maintain close communication with all our customers to work out feasible solutions. The majority of our customers have a deep understanding of microeconomic and supply chain volatility and have more or less flexibility to access higher module prices and lower IRRs. However, the continuous increase in module prices will inevitably affect the demand. We noticed that the lower demand has kept the price from rising further and the lowering and the stabilization over the material prices should drive up downstream demand. On a positive note, polysilicon output is sufficient to support 160-gigawatt of installations this year and at least 210-gigawatt of installations in 2022. Therefore, we believe that there is no basis for the continued rise of polysilicon prices. Based on the current high spot price, the upstream and downstream fluctuation is expected to stabilize in the second half of this year. Considering that the company's shipments may increase significantly in the next few years, in order to enhance the stability of polysilicon material supply, the company has strategically invested in Inner Mongolia Xinte Energy recently. At the same time, we signed a strategic cooperation agreement with China COSCO Shipping Corporation, which will help us provide customers with long-term high-quality transportation solutions. We are currently one of 60 key accounts of China COSCO Shipping worldwide. At the end of the first quarter, we made a judgment call based on the prevailing market conditions and lowered the production volumes of modules, while mono wafers and cells remains at full production levels. In terms of business strategy, we continue to lever with the advantages of our integrated capacity to adjust external sales of mono wafer and modules and reserve a certain volume to support spot market orders, so as to reduce the impact of price volatility on our profit margin. The challenges faced by the PV industry have accelerated technological advancements, such as wafer selling to save polysilicon consumption technology improvement to further increase module output and the ramp up of production, automation to reduce costs and increase efficiency. Companies with advanced technologies can enjoy first-mover advantages and achieve relatively stable economic benefits, despite rising material costs. Our wafer selling capabilities have reached industry-leading standards and our smart factories are optimizing process and improving automation every day. This initiative will continuously contribute to our economic benefits and consolidates the advantages of our in-house manufacturing capabilities. Mainstream crystalline silicon cell technology has been gradually transitioning from P-type to N-type sales and the industry is expected to usher in a new face of technological upgrades, cutting-edge R&D in technologies, highly cooperative and innovative system from wafer, cell, module to system and the ability to quickly commercialize on the results in mass production, have propelled JinkoSolar to the top and we continue to lead technology breakthroughs in the industry. We started to produce the 800-megawatt N-type TOPCon cell two years ago, and it has become the industry benchmark in terms of lab efficiency, mass production efficiency and cost control. Meanwhile, we have just completed the construction of a high-efficiency laminated perovskite cell technology platform, which is expected to reach an industry-leading conversion efficiency of over 30% within the year. In the short to medium-term, we will invest more resources into technology development that will improve product competitiveness. We will also continue to expand our solar-plus business, promote technical and process improvement to lower LCOE for all our global customers. In terms of capacity expansion, taking into account this year supply chain and market conditions, we adjusted the expansion of wafers, cells and modules accordingly. Our in-house production capacity of mono wafers, cells and modules are expected to reach 30 gigawatt, 24 gigawatt, and 33 gigawatt, respectively. By the end of 2021, CapEx will be reduced accordingly and in line with supply chain situation this year. Before turning over to Gener, I would like to go over our guidance for the second quarter of 2021. We expect total shipments to be in the range of 5.1 to 5.3 gigawatt, including module shipments to be in the range of 4 to 4.2 gigawatt for the second quarter of 2021. Total revenue for the second quarter is expected to be in the range of US$1.2 billion to US$1.25 billion. Gross margin for the second quarter is expected to be in the range of 12% to 15%. The full year 2021 shipment guidance, including wafers, cells and modules, is unchanged and expected to be in the range of 25 gigawatt to 30 gigawatt.
Gener Miao: Thank you, Mr. Li. In the first quarter of 2021, total shipments of modules reached to 4.6 gigawatt, a new record for the first quarter. In addition, roughly 800 megawatt of cells and wafers were shipped to China market. From a regional perspective on module shipments, shipments to Europe and emerging markets both had significant growth sequentially and year-over-year. While shipments to the U.S. market remained relatively stable, in the second quarter, as challenges in the supply chain intensified, we proactively adjusted our strategy for the order book and responded to supply chain volatility by fine tuning the proportion of wafer, cell and module shipments to maintain profitability. Faced with challenges in the material costs and transportations, our sales team kept a close communication with clients to find a mutually acceptable solutions. Based on their feedback, we know that many Chinese utility investors, including state-owned enterprises have moderately lowered their expectations for yield. Overseas demand for certain installations have seen stronger tolerance for higher module prices due to advantages in electricity prices or lower costs of the system construction. Meanwhile, some clients have accepted delays in module deliveries. Expectations for yield varies across different countries, project types and scale, but overall market demand remains optimistic. So imbalanced in supply chain is expected to continue for some time. So we are keeping our order book and execution at flexible and sustainable level. Our product structure continues to be optimized according to the demand with flexible business model and a relatively higher prices. So demand for distributed generation continues to grow in regions like Europe, Australia, Japan, US, where we can leverage our global brand awareness and reputation. Clients have been favorable towards our premium quality products such as N-type and Tiger Pro products, which were specifically designed for residential, industrial and commercial distributed generation facilities. In terms of annual shipments for 2021, geographical demand has been roughly divided into North America, Asia Pacific both for 20% to 25%, while China, Europe and emerging market were 15% to 20%, respectively. This year, market demand has experienced the multiple challenges, such as continued delay caused by the resurgence of COVID-19 in Southeast Asia, rising costs of PV power station projects due to price hikes in polysilicon and the bulk of [ph] commodities and extended delivery delays caused by logistic disruptions. We believe these challenges will be gradually revolve - resolved in time. Meanwhile, we are constantly improving our mechanism of dealing with risks. We are optimistic about the growth in global market demand over the next few years, and remain fully confident about our ability to capture a larger global market share year-over-year by providing sophisticated products and services for our global clients. With that, I will turn it over to Pan.
Pan Li: Thank you, Gener. Despite increased cost of production materials and logistics, our major financial metrics such as gross margin, operating margin and net margin all improved sequentially. This is due to the sequential increase in our ASP quarter-over-quarter, and our continuous efforts to optimize our cost structure. Let me go into more details about this quarter now. The total revenue was $1.21, up 9 percentage year-over-year if we exclude the impact from the disposal of overseas power plants in the first quarter last year. Gross margin was 17.1 percentage compared with 16 percentage4 in the fourth quarter last year and 19.5% in the first quarter last year. Total operating expenses in first quarter was $184.6 million, a decrease of 15.8 percentage compared with fourth quarter last year. The sequential decrease was mainly attributable to a decrease in disposal and impairment loss on property, plant and equipment. Excluding impairment loss, total operating expenses accounted for 13.7 percentage of total revenues in the first quarter this year compared with 14 in the fourth quarter last year. We're working with further control operating expenses with increasing revenues in the second half of the year. Total operating expenses as a percentage of the total revenues are expected to decrease further. Operating margin was 1.9 percentage in the first quarter this year, compared with 0.8 percentage in the fourth quarter last year. EBITDA was $123 million [ph] compared with $100 million in the fourth quarter last year. Net income was $33.7 million and non-GAAP net income was $7.5 million was increased sequentially compared with last quarter. Diluted earnings per ADS was $0.15. The impact from foreign exchange rates remained. We record a net exchange loss of $4.1 million in the first quarter this year. We will continue to hedge against the foreign exchange risks to mitigate the impact on operating results. In terms of transportation, as consumption demand in major economies in the world regain strength, the pandemic caused further delays and inefficiencies in import operations. As a result, we expect that the overall freight rate will not decline until the first quarter next year. In face of the tough situation, we adopted CFR model for coating and continued to foster deeper strategic partnership with logistic companies. At the same time, as module power and the proportion of large-sized module shipment continues to increase, container transportation is expect to improve efficiency and result in the drop in freight cost per watt. Moving to the balance sheet. At the end of the first quarter, our balance of cash and cash equivalents were 1 - were about $1 billion compared with $1.24 billion at the end of last year - in the fourth quarter last year. Accounts receivable turnover days were 59 days compared with 50 days in fourth quarter last year. Inventory turnover days was 126 days compared to 97 days in the fourth quarter last year. Total debt was $2.67 billion at the end of the first quarter, compared to $2.8 billing at the end of the fourth quarter last year, gradually improving quarter-over-quarter. Out of the total debt 17 million was related to international solar projects. Net debt was $1.59 billion compared with $1.56 billion at the end of the fourth quarter last year. In light of supply chain volatility and market conditions, we're reducing capital expenditures and expect total CapEx to be around $100 million for the year. This concludes our prepared remarks. We're now happy to take your questions. Operator, please proceed.
Operator: We will now begin the question-and-answer session. [Operator Instructions] First, we have Philip Shen [ROTH Capital Partners] Your question please.
Philip Shen: Hi, everyone. Thank you for taking my questions. Given the recent WRO in the U.S. on Hoshine, I was wondering if you can comment on how much Hoshine content do you guys have in your modules?
Gener Miao: Hi, Philip. This is Gener. Thanks for the question. Actually, that's pretty latest development from the WRO side. We are still under internal investigation reviews about the whole process and reactions based on the WRO. So we will keep everyone updated once we get anything. Thank you.
Philip Shen: Okay. Thank you, Gener. Is there something else? Sorry. Okay. Yeah, I have a couple of few more. Thanks. As it relates to your guidance, I think, the implied shipments for Q3 and Q4 are roughly 17-ish gigawatts. What's the mix you think between Q3 and Q4? Is it evenly splits? Or do you think it's heavily or more weighted to Q4? And then also, if you can comment on the outlook for 2022, what kind of - I know you gave global market growth, do you expect your shipments to grow in line with that market growth?
Gener Miao: So yeah, that's a great question. Actually, the second half is always our peak season for solar, especially Q4 for China market. We are expecting a strong Q4 demand in China market as well. Regarding the portion-wise, I would like to remind that the total shipment numbers contains both modules and wafers, even small volumes of the cells. So regarding the detail breakdowns between that we will keep ourselves flexible enough to adjust that to the market changes in Q4. But, for me, I'm pretty confident that, with a strong demand in Q4, we will deliver, let say, solid performance for the whole year's shipment and profitabilities. Regarding 2022, the market itself is believed to continue to grow. And we at Jinko itself, we plan to grow organically as well. So we will keep everyone posted, it’s still very early to provide any detailed number yet.
Philip Shen: Okay, thanks. Yeah, I noticed the technology details around the perovskite cell reaching over 30% efficiency. That's a very - if you get that this year, that's great, that's incredible. Can you talk about when you think the perovskite cell could be commercially available? How stable is it now? And then I think on the last quarter, you talked about the N-type capacity for 2021 being 800 megawatts. Do you still - with the capacity expansion reduction, do you continue to see 800 megawatts for 2021? And then how much do you see in 2022, for N-type? Thanks.
Gener Miao: For N-type, I think, we – currently, we stick to the 800, 900 megawatt we have and those product is super popular in the distribution market. We can have - we can enjoy higher brand premium together with higher acceptance of the N-type products. For the future, we are closely following the development of the industrialization of the latest N-type cell technology even to some of the module technology to decide our roadmap. Right now, it’s - we cannot give a very detailed numbers or options on the table yet. But definitely we are - we will be one of the early movers for the technology for sure. Thank you.
Philip Shen: And Gener, did you address perovskite specifically? Do you think you could be close to 2021 or…
Gener Miao: That’s - for me I think that will be even longer-term. I think N-type definitely will be earlier than the other technologies to become a mature and a massive applied industry. But definitely, we are not only looking to one year or two, that’s something we are looking for even three, five years time, definitely we are investing in that.
Philip Shen: Great. And in the Q1 quarter, you guys had, I think, about 800 megawatts of wafer and cell sales. Can you talk about the margins on those sales? Especially wafer, what kind of margin did you have there? Was it similar to your peers there?
Gener Miao: So let me look into the numbers. But as far as I can remember, it should be somewhere around 20% margins for wafer side. The cell numbers are very small. The shipment is very small, so I don't have the margin yet.
Philip Shen: Okay. Thank you, Gener. I'll pass it on.
Gener Miao: No problem. Thank you very much.
Operator: Thank you, Philip. [Operator Instructions] Next up, we have Brian from Goldman Sachs. Brian, your question, please?
Brian Lee: Hey, guys. Yeah. Good evening. Thanks for taking the questions. I had a couple on the guidance. Maybe first off, a simple one, just it's the last week of June, the quarter is almost closed here. Your revenue and shipment guidance seems pretty tight in terms of the range, but there's still 300 basis points between low and high end on gross margins for 2Q. Can you give us some clarity or sense of why there's still such a potential gap and what the gross margins end up - the gross margins you realize for the quarter are going to be?
Gener Miao: We - in terms of guidance or the gross margin is really close to the end of the quarter. We - the gross margins still have some impact from the polysilicon business and polysilicon price, as well as the foreign exchange rate, I mean, the RMB against U.S. dollars. So we just gave relatively wide range, 12% to 15%. And I think it's probable of the high end of the range.
Brian Lee: Okay, fair enough. And then I think sticking with the gross margins. Obviously, polysilicon has been more volatile and seeing much faster appreciation than people expected heading into the year. You and your peers, I think, are generally - were thinking Q1 could be the bottom for those margins based on the guidance here, clearly 2Q is going to be lower. How should we be thinking about that in the context of gross margins for the rest of the year? We - in this low teens level, until probably starts to go down meaningfully or could we see another downtick into 3Q, given inventory of high-cost probably still has some timeframe that it needs to flush out of your cost structure?
Gener Miao: We are observing, you know, the market price, including modules is undergoing an upward trend and we are expecting the stabilized, the price of polysilicon. So, we think, you know, it's - you know, we have the capability to maintain a reasonable gross margin in half year. And it's - we hope it's better you know, compared to the first half of the year because of the stabilization in polysilicons, as well as we continue to improve our production costs and to mitigate the cost pressures on polysilicons. And we will continue to maintain some flexibilities in terms of shipments of modules, which is the mono wafers.
Brian Lee: Okay, fair enough. And then maybe two questions on the revenue portion of the guidance. You guys mentioned some projects are you know, delaying or seeing some timing issues, because of the high cost of panels and you have been raising prices throughout the year. Are you having to reprice any of these contracts or are you seeing pricing back half or early '22 delivery starting to kind of go down again? Again, you have a view that polysilicon stabilizes. So, are you reflecting that in maybe firmer or declining module prices as well moving through the year?
Gener Miao: Yeah, thanks for the question. I think for that part, its true that some of the projects or some of our prize projects has to accept some of the delays because of you know, unexpected high price, not only module, actually, if you take into the - take other factors into consideration as well, for example, the logistics, the labor cost, even the cost of the truckers, even sometimes inverters. So, yeah, in general, so everything, you know, goes up. So that's why some of the project which has very tight budget to the IRR or CapEx has to delayed or even recapped and somehow to adapt themselves to the situation right now. For the next few years, actually we are expecting a pretty stable years, because even when the polysilicon price becomes stable as of now, and also we are expecting more polysilicon capacity available for mid of 2022. But when we compare with the demand side, actually, we are expecting more demand coming up or compare with additional, you know, new polysilicon capacity, especially when so many projects and the demand get delayed into '22, as well as the you know, the new project coming up online. So, we are expecting a very promising year of '22 as well. Hope that answer your question.
Brian Lee: Yeah, that’s helpful. I guess maybe just to simplify the question, Are you helping your customers at all with pricing, i.e., you raised prices to reflect the poly increases earlier in the year, now that poly is may be peaking and could start to go down. Are you anticipating, are you quoting you know, more aggressive pricing to keep these projects on track, On the module specifically…
Gener Miao: Yeah. It varies case by case. It won't be a general, you know, solution for everyone. But we are dealing with every customer case by case. We have you know, all different kind of business models to try to find a mutual solutions for the customers to solve their problems, including all the methods you just talked about, but not only limit to that, right, so…
Brian Lee: Okay, fair enough. Last one for me, and I'll pass it on. You're maintaining the 25 to 30 gigawatt guidance. I know that shipment guidance for 2021. I know it includes the cells and the wafers, as well as module shipment. I am not sure if you spoke to this, but what's the module portion of the 25 to 30 gigawatts? Just trying to get a sense of how much is baked into second half growth here?
Gener Miao: Right now, we are expecting a majority of it, but we don't have a budgeted number yet because we are totally flexible up to the market. If the - for example, if the polysilicon market is - you know, keep stable and the market demand start to pick up, definitely we are more than happy to ship everything in modules instead of wafer itself. But if you know, the market itself continue to be volatile, as it was in the last three or six months time, we are forced or we have to be flexible to expose or ship more wafers in order to adapt to the market risk.
Brian Lee: Okay. Thanks a lot, guys. Appreciate it.
Gener Miao: Thank you very much.
Operator: Thank you, Brian. [Operator Instructions] Next, we have Reddy [ph] from Santana Capital. Your question please?
Unidentified Analyst: Can you hear me?
Gener Miao: Yes, please.
Unidentified Analyst: Yes. My question is about the gross margin. And you had a very nice positive surprise on the gross margin in the first quarter. And I understand that part of it is because the wafer business is higher margin. So is it fair to believe or think that you are now managing the business to improve gross income and to maximize gross income, rather than just be maximizing revenues. And therefore, for the near term anyway, a better benchmark to evaluate progress is to be looking at gross income. And I noticed that, you know, the gross income number was higher than a year ago, despite obviously a decline in pricing of - despite a substantial decline in module prices, your gross income year-over-year was higher. So that's my first question. That is gross income the better benchmark to evaluate progress?
Gener Miao: Yeah, I think that that's a very encouraging comments for the company. I think for the company strategy wise, we are not only looking to one goal, right, to operate or to do our job, actually, it will be a balance between different goals. Definitely gross revenues and gross margins is a very important factor and the target for the company's management. But we have to also take care of the other factors, such as market share, customers in the long-term partnership, as well as the revenues or growth or to make sure you know, our company is growing in a sustainable way, right. So long story short, it won't be a profit only or gross margin only, but definitely, that's a good angle to look into. Thank you.
Unidentified Analyst: And my second question is about the listing in the Chinese car market, can you give us an update on that?
Gener Miao: It's still in preparation stage. And - but back to – and we will release the news if we reached a significant milestone.
Unidentified Analyst: Can you give us a sense of what the timeline might be on that?
Gener Miao: No, we're not in a position now to talk about the timetable. But just what I said, we expect to reach some milestone and we will release the news and if we reach that.
Unidentified Analyst: Thank you.
Gener Miao: Thank you very much.
Operator: Thank you, Reddy. Next, we have [indiscernible]. Your question please?
Unidentified Analyst: Hi, management. Thank you for taking my call. My first question is regarding the - we saw in June that many other module makers are cutting their usual - production utilization rate again in June due to the high costs. Do you expect the utilization rate can rebound in July, given there will be more new projects released?
Gener Miao: So, you're talking about for the company's specific situation of the industry estimations. I think the polysilicon is still in the high, relatively highest you know, a nice stabilized. And if it stabilized, it will be hard for the industry, the module makers to increase their utilizations [ph] in the third quarter. But I think July, one again, probably in recent – really still low compared to the second quarter.
Unidentified Analyst: So when do you think the production rate can rebound for the sector?
Gener Miao: It has a good indication right. If you look at the polysilicon, the wafer cell price is still obviously stable and nice and the downstream players are willing to take relatively high module price. I think it has high chance in the second half of the year, the utilization rate will be better than first half year.
Unidentified Analyst: And also want to ask if there is any further ASP cut for polysilicon or the wafer? Are we seeing any potential for impairment loss for our inventory?
Gener Miao: We don't expect that, because firstly, when we quote the module price, we estimate the potential - pressures from a cost perspective. And the second one is, you know, because we are integrated production, so we have relatively low costs compared to the players, which they don't have the model wafer capacities. So we don't expect you know, and the inventory risk in the recent stage.
Unidentified Analyst: Thanks. And my next question is regarding our capacity expansion plan. We cut the plan for around like three gigawatts. Can you elaborate why we are so cautious on the expansion right now?
Gener Miao: Given the polysilicon is still relatively tight, and the interest rate utilization, I mean, the model wafer utilization industry will not be 100%. And we you know, we make the CapEx investment relatively slowly to make sure we have relatively high utilizations, it doesn't mean we will not make the investment and some of the investment we will be - you know, invested in earlier next year.
Unidentified Analyst: Thanks. My last question is, do we have any guidance for the operating profit margin, because we're seeing some slight improvement in Q1, but still much lower than last year? So, will you have any guidance on the Op margin?
Gener Miao: Operating margin, we don't get the guidance, but there is some specific matters in the first quarter. And regarding the one-off impairment for the solar operating projects, international projects, and we don't expect to have the impairment throughout this year. So the operating expenses range will be roughly 12% to 13%.
Unidentified Analyst: Thanks, no further question.
Gener Miao: Thank you.
Operator: Thank you, Jen. Thanks, we have Reddy from Santana Capital. Your question, please?
Unidentified Analyst: Yes. My question is about the expectation for module prices in the second half of the year versus the first half. You know, obviously, many module companies have lowered their utilization rate, because of the shrinkage in margins recently. The question is, as you have a standoff between customers and suppliers on module, while the near-term utilization rate has come down, because customers are unwilling to accept the prices that you want to charge them. Is it fair to think that in the second half of the year it's just as likely that customers will accept somewhat higher prices than what they are paying in the second quarter?
Gener Miao: Yeah, thank you for the question. I think for the ASP or the market price, let's talk about it for a second, right. So, for the market price for the second half we have seen firstly, it's a stabilized polysilicon price. In the first half, the polysilicon raw material price jumped almost every day or every week. So it brings a huge uncertainty for the lower downstream, especially for the module market prices. Sometimes we have to update our quotes of prices every week or even every two or three day's time. That brings a huge uncertainty for the customer. And for now we have seen the stabilized polysilicon prices, and also the industry is not expecting any huge volatile polysilicon price in the near future as well. So we have seen a lot of customers start to take actions to build up their budget and CapEx, even though you know, construction schedule based on the current market prices. So, that's why we are so confident about the second half demand will continue to be strong. And especially, we have seen a strong China demand in Q4, which will become a very huge, important cornerstone for the global demand for the second half as well. Thank you.
Unidentified Analyst: Thank you.
Operator: Thank you, Reddy. I will now pass the call to Ms. Ripple.
Ripple Zhang: Thank you, everyone for joining us on the call today. Have a good night. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.